Operator: Ladies and gentlemen, thank you for standing by. My name is Desiree, and I will be your conference operator today. At this time, I would like to welcome everyone to the NextNav Inc. First Quarter 2025 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, again, press star one. I would now like to turn the conference over to Nevin Riley. You may begin. Good morning, everyone. And welcome to NextNav Inc.'s first quarter conference call. Participating on today's call are Mariam Sorond, NextNav Inc.'s Chief Executive Officer, and Chris Gates, NextNav Inc.'s Chief Financial Officer.
Nevin Riley: Before we begin, let me remind everyone that this call will include certain statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements may be identified by the use of the words may, anticipate, believe, expect, intend, should, could, similar expressions. Such forward-looking statements, which may relate to NextNav Inc.'s forecast future results, future prospects, developments, and business strategy, are subject to known and unknown risks, uncertainties, and assumptions, many of which are outside NextNav Inc.'s control and could cause actual results to differ. In particular, such forward-looking statements include the achievements of certain FCC-related milestones, and SEC approvals, NextNav Inc.'s projections, plans, objectives, expectations, and NextNav Inc.'s future business strategies competitive position. These statements are based on management's current expectations and beliefs as well as a number of assumptions concerning future events. You are cautioned not to place undue reliance upon the forward-looking statements which speak only as of the date made and NextNav Inc. undertakes no commitment to update or revise the forward-looking statements except as required by law. For additional information regarding risks and uncertainties, please refer to the risk factors and other disclosures contained in the company's filings with the SEC. Following prepared remarks, the company will host an operator-led question and answer session. In addition, a replay of our discussion will be posted to the company's Investor Relations website. I'd now like to turn the call over to Mariam Sorond. Please go ahead, Mariam.
Mariam Sorond: Good morning, and thank you all for joining us today. Before drilling down on business milestones and momentum, I'd like to begin with a snapshot of who we are and discuss why our solution has never been more important. I will then pass it over to Chris to provide an update on our financials. At NextNav Inc., we are focused on solving a critical national security challenge: the vulnerabilities of GPS. GPS is critical in nearly every part of modern life, from national defense and aviation to emergency response, power grids, telecommunications, and financial systems. However, GPS can be jammed or spoofed with low-cost equipment, and unlike China and Russia, the US currently has no domestic terrestrial backup in place for continuity if GPS fails. That's where NextNav Inc. comes in. We are proposing a vital layer of resilience by delivering a terrestrial complement and backup to GPS. Using our licensed low-band 900 megahertz spectrum, the scale of 5G infrastructure, and the 5G equipment ecosystem, we've proposed a reliable, accurate, positioning, navigation, and timing, or PNT solution to the FCC. The system can provide a critical backup to GPS and complements it indoors and in urban canyons where GPS signals are often limited or not available. This is essential for first responders and critical infrastructure. And we structured our solution to be deployable at no cost to taxpayers. We are actively working with the FCC and key stakeholders to integrate our solution as part of a broader system of systems approach to national PNT resiliency. While we've been talking about this for over a decade, we're excited to see the increased urgency from the current administration. And as FCC Chairman Brendan Carr recently put it, while GPS may be indispensable, it is not infallible. Disruptions to GPS have the potential to undermine the nation's economic and national security. During the first quarter, the FCC demonstrated meaningful progress with fast movement under Chairman Carr to advance space-based and terrestrial PNT solutions. On March 27, the FCC unanimously voted to advance a notice of inquiry, or NOI, titled "Promoting the Development of Positioning, Navigation, and Timing Technologies and Solutions" to explore how the FCC may foster GPS backups and complements. The unanimous vote demonstrates a clear recognition of the urgent national security and public safety need for resilient PNT. Backed by bipartisan and public support, the NOI advances efforts to develop terrestrial PNT solutions that add critical redundancy to America's infrastructure. We were pleased with the NOI and applaud the FCC's engagement with stakeholders across government and industry and for its interest in a system of systems approach, an approach that includes both space and terrestrial-based technologies to build redundancy into America's critical infrastructure. We saw unanimous support for the NOI, and the frameworks are moving quickly by the FCC as indicated by its expedited NOI comment period. Chairman Carr brought to light a critical issue for the industry, with the vast majority of commenters supporting the need for a backup and complement to GPS. There was a broad consensus in the NOI comments regarding the importance of enhanced national PNT infrastructure and mitigating GPS vulnerabilities via a system of systems approach. Many commenters also agree that a terrestrial solution is critical and that it should be wide-scale and available for incorporation in end-user devices. In addition, first responder organizations have urged the FCC to support the deployment of resilient PNT, and a number of key public safety organizations, as well as other commenters, have supported further action by the FCC with respect to NextNav Inc.'s proposal. While the NOI was a general proceeding, NextNav Inc. was specifically described by the FCC in the NOI, which underscores the interest in our wide-scale technology proven across the public and private sectors. The discussion in the NOI references NextNav Inc.'s demonstrated performance. Moreover, the language of the NOI closely echoes the foundational points of our separately filed FCC petition for rule change, repeatedly emphasizing the necessity for a system of systems including a terrestrial component and the need for a backup and complement to GPS to address vulnerabilities and limitations in GPS. It is critical for the FCC to enable at least one future-proof solution that relies on market forces to deliver a terrestrial wide-scale PNT solution that is broadly available to critical infrastructure, public safety, and consumers, and has a clear path to incorporation in end-user devices. In terms of the FCC's ongoing consideration, we did not see any surprises or showstoppers from the NOI that would prevent the FCC from taking action with respect to next steps. We believe PNT resiliency is an urgent national security objective and are encouraged by the FCC's swift action thus far. We hope the FCC maintains this pace, and NextNav Inc. will continue to work collaboratively with the FCC and industry to deliver on this administration's priority. Now, as a brief aside, while we are proud of the supported record, both for NextNav Inc. and for the objective of a wide-scale terrestrial backup and complement, we wanted to touch on the recent opposition and why we think it is unlikely to be persuasive at the FCC. There are generally two types of arguments. The first claims that there are superior terrestrial alternatives to NextNav Inc. and PNT, but we believe the FCC is interested in a system of systems approach requiring multiple terrestrial technologies, and part of a wide-scale terrestrial solution can be incorporated in consumer devices without the need for taxpayer funding. The second type of opposition claims that modifying the technical rules for the band would cause interference issues to other current licensees in the band and to a variety of unlicensed devices that currently and successfully coexist in the band. Thus far, none of these interference claims are supported by technical analysis. We continue to reach out to incumbents in the band for engineer-to-engineer dialogue, and we are confident that the staff at the FCC will be able to assess the technical arguments fairly and completely. We continue to believe that the benefits of implementing NextNav Inc.'s proposal in terms of addressing a critical national security vulnerability will far outweigh any cost of retuning licensed incumbent systems or replacing equipment as required. In addition, a technical analysis was filed with the FCC in late February showing that NextNav Inc.'s proposed 5G operations would not cause unacceptable interference to unlicensed devices in the band. The recognition of the urgent national security and public safety needs at hand is not just a topic of policy. It is an imperative from a number of audiences in the broader global markets that are bringing attention to NextNav Inc. Earlier this week, I presented at the Milken Institute Global Conference on a panel regarding America's lack of preparation for future warfare. There was a wide recognition that building resilience in vulnerable systems is important for deterrence and also for regaining our leadership in critical technology. Further, it was recognized that the private sector can help address national security concerns by accelerating the availability of these resilient systems. Additionally, as we execute on our goal of providing a terrestrial backup and complement to GPS to address a major national threat, we are pleased to welcome two esteemed individuals to our board of directors: Rear Admirals H. Wyman Howard and Lauren Selby. Their extensive military and national security leadership experience in technology, research and development, and management capabilities will be invaluable to NextNav Inc. and will help drive our agenda. Looking ahead, NextNav Inc. is committed to strengthening PNT resiliency in support of national security, public safety, and the economy. With increasing recognition of the need for a terrestrial GPS backup, evidenced by the bipartisan NOI vote in March and strong national security focus from the new administration, we are well-positioned for continued momentum. We remain focused on executing on our strategic roadmap and driving innovation in geolocation technology. With that, let me turn things over to Chris for a review of our financials. Chris?
Chris Gates: Thanks, Mariam, and good morning, everyone. I'll address our financial performance for the first quarter of 2025 and provide details on the strategic financing that closed in March. Beginning with the top line, NextNav Inc.'s revenue in the first quarter was $1.5 million, a $500,000 increase from $1 million in the prior year period. The year-over-year increase in the period was driven primarily by an increase in service revenue from technology and services contracts with government and commercial customers. Operating expenses for the first quarter were $18.5 million, up approximately $1.3 million versus the same period last year. Operating expenses included $1.5 million in depreciation and amortization, and $4.3 million in equity compensation, compared to $1.3 million in depreciation and amortization and $4.2 million in equity compensation in the first quarter of 2024. Net loss for the first quarter was $58.6 million, which included a $24.5 million loss associated with the change in the fair value of derivative liability and $14.4 million of debt extinguishment loss. This is compared to a net loss of $31.6 million in the first quarter of 2024, which included a loss in the change of the fair value of our warrant liability of $13.2 million. Turning now to our balance sheet and liquidity. We finished the quarter with $188.4 million in cash, cash equivalents, and short-term investments. This reflects the closing during the quarter of the previously announced $190 million of 5% redeemable senior secured convertible notes due 2028, issued in a private placement to lead investors in Core Capital, Fortress, and other new and existing investors. As part of the closing of the notes, a portion of the net proceeds were used to redeem our previously issued $70 million 10% senior secured notes due 2026, along with accrued interest. As noted, we were pleased to welcome new strategic investors while deepening our relationship with existing investors and enhancing the liquidity of our balance sheet on attractive terms. We believe this capital will provide additional financial flexibility and strategic support as we pursue our objectives through 2025 and beyond. As we have mentioned in the past, we take a prudent long-term approach to liquidity and continue to carefully manage our use of capital. With that, I'll turn the call back over to the operator for questions. Operator?
Operator: Thank you. We will now begin the question and answer session. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your question, simply press 1 again. If you are called upon to ask your question and are listening via speakerphone on your device, pick up your handset to ensure that your phone is not on mute when asking your question. Again, press 1 to join the queue. And our first question comes from the line of Ryan Koontz with Needham. Your line is open.
Ryan Koontz: Great. Thanks for the question. With regards to your kind of proposed network deployment model, can you maybe walk us through that a little bit as it, you know, how it involves incumbent mobile operators and their spectrum and how your services would mesh with their infrastructure and their wireless services? Thanks.
Mariam Sorond: Hi, Ryan. Basically, our proposal is technology is embedded in 5G. It's completely standards-based. Right? 5G has an existing standards-based signaling mechanism called PRS or the positioning reference signal. That doesn't need any modification or anything to the equipment. And, basically, you turn it on, it provides a beacon, and then our software derives positioning timing from that beacon. So, basically, what this means is that when our spectrum, and we've said this in the past, that, basically, the spectrum will be deployed by our partner, most likely an MNO, they will add the spectrum to their existing network like they do any other spectrum. For capacity purposes or coverage purposes. And then when it's completed deployment, they turn on the PRS, and we get to go.
Ryan Koontz: And so you'd use their towers, their backhaul, and their kind of core infrastructure to route your signals?
Mariam Sorond: Yeah. The signal is embedded in the 5G. So it's already whatever routing mechanism, the same equipment that you use for 5G broadband is actually going to turn on this signal, which same routing mechanism, and then we actually detect and derive the signal within an end-user device. It's 5G-based. That's why we talk about the wide-scale availability and convenience in end-user devices, and our solution is just software. It extracts that information and derives the positioning and timing.
Ryan Koontz: Right. And what would be their motivation for rolling this out? It's commercial equipment?
Mariam Sorond: Their motivation will be that they need spectrum, specifically also low-band spectrum, which is scarce these days for coverage or capacity enhancement. They will deploy it for the reason of the spectrum need.
Ryan Koontz: Got it. So they'll operate their own traffic over your 900 megahertz spectrum.
Mariam Sorond: Exactly. This is the solution we came up with for this to be an economically innovative solution. Right? And in the past, we've talked about how deploying just a beacon for PNT is not economical. So this is how we came up with a solution to say the spectrum is what the operators would be interested in. So, therefore, we could then derive the PNT signal from it.
Ryan Koontz: How about on the client side? What are you going to do there? Obviously, you'd need new chips and kind of RF capabilities in the end devices to process this.
Mariam Sorond: So just like any spectrum today that an operator adds, right? And they're going to continue to do this because they need spectrum. They're going to add spectrum to their networks. Devices would have the roadmaps, whether that's on the front end or whether that's the software to include a new band. It's the same process. No different than any other spectrum that they would add.
Ryan Koontz: And in terms of the client processing capability to derive signals, does it run in software, or do you need another chip to process the signal?
Mariam Sorond: No. Just software. Our solution is 100% software-based for extracting the positioning.
Ryan Koontz: Interesting. Right. That's all I've got for the questions.
Mariam Sorond: Thank you.
Operator: Our next question comes from the line of Tim Horan with Oppenheimer. Your line is open.
Timothy Horan: Thanks, guys. First, up on that question, you know, how expensive would this be deployed for an MNO if it's software-based? And, you know, why wouldn't they all deploy this maybe on existing spectrum now, you know, if it's feasible just to, you know, add in?
Mariam Sorond: So the CapEx or any addition would be similar to any other spectrum. They do all the time because we're exactly not going opposite direction on the need for more capacity or coverage. They're going to continue to spend the money to add spectrum to their networks. As far as whether it's expensive to add our software, no. But, again, playing over a software layer is not at all. It's not a hardware modification. It's not an additional equipment, which makes it additional cost to what they routinely do to add spectrums. We don't have any of those. And you asked a really good question on why wouldn't they do this now if it's there? They can. They can actually turn on the PRS signal or in a 5G network or CRS signal in a 4G network. But it is a 5% capacity hit to their network. So, basically, they would be giving up 5% of their capacity, which is generating mobile broadband revenue. That's one problem. The second problem is just turning on the signal is not enough. You have to kind of then have, you know, NextNav Inc. has the expertise, the licensing, the IP, the software, to be able to then take that signal and convert it to positioning and timing.
Timothy Horan: Got it. Got it. So is there anything else about your technology or intellectual property that I thought you only needed a couple of megahertz of your spectrum to kind of run this? I think, you know, the carriers are up to like 300 megahertz on average now. Or why would it take 5% of their capacity and for you it would be much lower amount?
Mariam Sorond: So we actually have put an analysis early on about this needs broad bandwidth. So we do need the 10 megahertz downlink. So this is a 10 plus 15 configuration that we're proposing. The 10 megahertz, the depth of the spectrum is critical in providing accuracy. Capacity is a completely different layer, and that 5% is from the mid per second perspective, not the megahertz perspective. And it's the same. The overhead associated with PRS, whether it's in this band or whether it's in another band, is going to be about two to 5%. I'm taking the upper edge of things, depending on many configuration parameters. Did I answer your question?
Timothy Horan: Oh, I got it. So it's 5% of the 10% that you're using?
Mariam Sorond: Yep.
Timothy Horan: Yeah. Okay. Got it. Got it. And, you know, Iridium has they're pushing pretty hard of PNT Standard using their low earth orbiting satellites that will be kind of global and they claim it's 100 times the signal of what you get for GPS. I know you're talking about a system of systems, and clearly, there's still a need for terrestrial. But do you see that as a competitor or complementary? And there's a bunch of other satellites that are looking to do something similar.
Mariam Sorond: Yeah. We see that as very complementary. I mean, satellites are providing GPS today, which 4 billion users worldwide depend on it. Satellites are really critical. They're going to continue to be needed. The satellite commenters or we think they have a definitely an important place to play in this whole system of systems. And whether it's in the backup or any other they're bringing to the table, they bring an important part of the solution to the table. What we're doing is we're coming over a vulnerability of a satellite. So whether that's a GPS satellite or another operator's LEO or MEO or GEO satellite, it's still a satellite, and it's vulnerable. They're vulnerable to their space-based. Right? I mean, Milken was all about the future of warfare going space-based and how easy it is to go after satellites. They're very far in the sky, so their signals are weak when they get down to Earth. They get jammed. They get spoofed. Those are the vulnerabilities, and that's a gap and are part of the solution that we're bringing to the table. And they will continue to play an important role where their strengths are.
Timothy Horan: Got it. Very, very, very helpful. Thank you.
Operator: And our last question comes from the line of Mike Crawford with B. Riley Securities. Your line is open.
Mike Crawford: Thank you. In your comments, filed the PNT NOI, you essentially are urging the commission to issue NPRM on your parallel petition. Is there a way for you to get is that the only path, or is there any shortcut path maybe if this PNT action moves more quickly that you could get essentially what you want with the ability to use the rest of the 5G waveform besides just the timing positioning signal that you'd be transmitting along with it? Or your partner would be transmitting?
Mariam Sorond: So the FCC time, like, the FCC can decide what it wants to do in the next steps. We would like to see an NPRM. And an NPRM, it doesn't have to be on the earlier petition. The NPRM can be issued on the NOI. So either way that they see this, it's fine as long as we get to an NPRM process. You do need an NPRM to change rules. There's notice of proposal rulemaking changes and then eventually a report in order. There is no other mechanism that gets you to a rule change. Now, but, of course, in the interim, they could do many other processes in the toolbox that they would like to get to the final vision of a report and order ultimately.
Mike Crawford: Okay. Great. Thank you very much.
Mariam Sorond: Sure.
Operator: That concludes the question and answer session. I would now like to turn the call back over to management for closing remarks.
Mariam Sorond: Thank you all for joining us today. We're very excited by the pace of momentum we're seeing on the regulatory front with the FCC. And as we look ahead, we are committed to advancing geolocation services that will enhance PNT resiliency for national security, public safety, and the economy. And we're excited as our momentum propels us forward. We're looking forward to connecting with you all next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for joining, and you may now disconnect.